Operator: Welcome to Continental Airlines third quarter 2009 financial results conference call. During the presentation all participants will be in a listen-only mode. Afterwards we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference call is being webcast and recorded Wednesday, October 21, 2009. I would now like to turn the conference over to Nene Foxhall, Senior Vice President of Global Communications and Public Affairs; DeAnne Gabel, Director of Investor Relations. First Ms. Foxhall, ma’am you may begin.
Nene Foxhall: Thank you, Gilda. Good morning everyone. Joining us here in Houston are Continental’s Chairman and Chief Executive Officer, Larry Kellner; President and Chief Operating Officer, Jeff Smisek; Executive Vice President and Chief Financial Officer Zane Rowe; Executive Vice President Marketing Jim Compton; Executive Vice President Operations Mark Moran; and Senior Vice President Finance and Treasurer, Gerry Laderman to discuss Continental’s third quarter 2009 financial results. Larry will begin with some overview comments after, which Jeff will review our capacity and revenue results. Zane will follow with a discussion of Continental’s cost structure and balance sheet. At that point we will open the call for questions. We plan 20 minutes for the executive comments and then 25 minutes for analyst questions. At the conclusion of the analyst questions, we’ll begin a 15 minute question-and-answer session for the media. We would appreciate it if each of you would limit your questions to one with one follow up. With that I’ll turn it over to DeAnne.
DeAnne Gabel: Thank you, Nene. Earlier today we issued an update for investors presenting information relating to our financial and operational outlook for fourth quarter and full year 2009 and other information. This investor update was included in the filing with the SEC. Today we will be discussing some non-GAAP financial measures, such as net income excluding special items. Please note that a reconciliation of the GAAP to non-GAAP financial measures as well as the investor update can be found on our website at www.continental.com under the Investor Relations section. In addition, our discussion today may contain forward-looking statements that are not limited to historical facts but reflect the company’s current beliefs, expectations, or intentions regarding future events. All forward-looking statements involve risks and uncertainties that could cause actual results to differ materially. For example of such risks and uncertainties please see the risk factors set forth in the 2008 10-K and its other security filings. With that, I’ll turn the call over to Larry.
Larry Kellner: Thank you, Nene and DeAnne. Good morning to all and thanks for joining us. I want to start this morning by thanking all my coworkers for our strong operational performance during the third quarter. For the quarter excluding special items we achieved essentially breakeven results reporting net income of 2 million or earnings per share of $0.02. On a GAAP basis including special items, we reported a net loss of $18 million or a loss of $0.14 per diluted share for the third quarter. Achieving breakeven results is disappointing in a quarter that should produce a couple hundred million dollars in profit. However, given the weak revenue environment, our results could have been much worse if not for the diligent efforts of my coworkers. That said, we cannot and will note be satisfied with just achieving breakeven results. We must return the business profitability and we’re committed to doing just that. We’ll continue to look for ways to improve our efficiency and maximize our revenue. As I join many in believing that the economy recovery will be a lengthy process. We plan to fully leverage the power of Star Alliance, the world’s most comprehensive Global Alliance. We plan to join start next Tuesday, October 27. In preparation for joining Star Alliance, we’ve announced that we’ll begin daily non-stop service between Houston and Frankfurt and from Houston and Cleveland to Washington Dulles International Airport. These definitions will provide connecting opportunities for customers traveling via our Star partner hubs. These are just the beginning of the wealth of new opportunities and benefits our membership in Star Alliance will offer our customers. I want to personally thank Glenn Tilton for all his efforts to get us into Star Alliance. We’ve also continued to invest in our product by adding customer amenities such as audio-video on demand on our 757:200 and 777 fleets, installed DirecTV on our domestic narrow-body fleet introducing our flat bed seat. The first aircraft outfitted with our business first flat bed seat, which our business customers helped us design is scheduled begin service within the next two weeks. We’re well positioned to take full advantage of the improvements in the economic environment and while we don’t have visibility as to when business traffic will return to normal levels, or even whether are not there will be a new normal, we’re committed to doing what it takes to return to sustained profitability. With that, I’ll turn the call over to Jeff and Zane to discuss the quarter’s operational, revenue and cost performance details.
Jeff Smisek: Thanks, Larry. I want to join Larry in thanking our coworkers for running a great operation this past quarter. They earned a total of $11 million in cash incentives for making Continental the number one on time airlines among the major network carriers in August and September and for finishing among the top three major network carriers in July. This on time performance is impressive at anytime, but it’s even more so given the record high load factors we ran in the third quarter. During the quarter we also maintained our excellent reliability record by achieving a system mainline segment completion factor of 99.7%. I’m proud of our team of professionals who consistently deliver our high quality and reliable product. Throughout the third quarter our revenue remained weak. Mainline RASM was down 19.1% and regional RASM was down 10.9% year-over-year. We experienced weak yields and high load factors generated by the low fares caused by the recession. All regions experienced substantial year-over-year yield declines, which resulted in a mainline yield decline of 21.7% year-over-year and a regional yield decline of 16.8% year-over-year for the third quarter. However, we did see sequential modest improvement in the year-over-year percentage drop in high yield revenue for each of the three months of the quarter. I describe it more as green roots versus green shoots, but nevertheless it’s a move in the right direction. Now turning to the fourth quarter outlook while the steep revenue decline we experienced earlier this year appears to have flattened out and bumping along the bottom. We really have no idea how long the fall off and high yield traffic will last. That said there are some signs that indicate, we maybe seeing some modest improvement soon. There are a growing number of our corporate accounts that tell us that they’re beginning to ease their most draconian and travel restriction and some are even permitting travel for internal meetings again. While it’s too early to call it trend we have seen modest improvement bookings within 7 days to 13 days. Although this is encouraging the yields are still pretty tough. On the leisure side we expect to see relatively strong traffic and yields for the peak holiday time period. However, during the non-peak period we expect to continue to see deeply discounting leisure fares designed to stimulate traffic. We still have a week and a half left in the month of October and things could change, but based on the data thus far we’re currently estimating consolidated October RASM will be down 13% to 15% and mainline October RASM will be down 14% to 16% year-over-year and looking forward, just a reminder that due to the timing of the Thanksgiving holiday this year, we expect to get the benefit of the peak Thanksgiving holiday return traffic in November of this year versus December as we did last year. We have much work to do to improve our cost and revenue if we are to return to meaningful profitability. We remain highly disciplined on cost, and Zane will speak more about that in a few minutes. On the revenue side, we will continue to work to maximize our total revenue in many ways, including leveraging our new membership in Star Alliance and pursuing opportunities that will open for us and by increasing ancillary revenues. We will continue to implement changes designed to grow our ancillary revenue. We’re beginning to offer our customers more control over the product and services they buy from us by giving them a broader rang of choices. We believe that unbundling our product and service offering is more fair to the consumer as there’s less cross subsidization that results. Customers are beginning to be able to pay more precisely for the product and services they use and not pay for production and services they don’t use. You can expect to see us do quite a bit more of in this 2010 and beyond, while keeping the clean, safe, and reliable service for which we are world renowned. Moving on to our capacity outlook, we’ve begun to lap the substantial domestic capacity cuts made last year and expect our mainline domestic capacity for the fourth quarter will be up about 0.5% year-over-year. For the fourth quarter, we expect trans-Atlantic capacity will be down 11.4%. Latin capacity will be up 4.7% year-over-year, Pacific capacity will be up 16% year-over-year due to the addition of our Newark-Shanghai service earlier this year. For total mainline, we expect fourth quarter capacity to be down 0.7% year-over-year with our regional capacity down about 1.5% year-over-year. Thus we expect our consolidated capacity to be down about 1% year-over-year for the fourth quarter. For 2010, we expect modest year-over-year growth in our consolidated capacity in the 1.5% to 2.5% range with our mainline capacity up 2% to 3%, our mainline domestic capacity about flat year-over-year and our mainline international capacity up 5% to 6% year-over-year. The bulk of the international increase is the run rate of our ad this year and the restoration of our full schedule to Mexico following the pull down earlier this year related to H1N1. We will continue to monitor the demand environment closely and if necessary make further adjustments. While our team did a great job given the high loads brought about by the weak yield environment, our third quarter results were very disappointing, achieving essential breakeven results in what’s usually one of our peak earnings quarters is certainly nothing to brag about. We know we need to do better and we know we owe it to you to do better. We recognize the importance of achieving and maintaining meaningful full year profitability. Our goal is to provide a reasonable rate of return to our investors and more stable and secure careers for our coworkers. Let me give you my assurance, that we are committed to that goal and will do everything in our power to achieve it. I want to close by thanking Larry Koellner, for his leadership. Larry has tremendous integrity, passion, and knowledge of the airline business. He’s been my business partner for almost 15 years and all of us at Continental will miss him. We wish him the very best in the private equity firm, he is starting and look forward to seeing him on board Continental Airlines in the future. With that, I’ll turn the call over to Zane Rowe.
Zane Rowe: Thanks, Jeff. I want to begin by joining Larry and Jeff and thanking the entire Continental team for all their effort and hard work during a difficult quarter. Unfortunately, as Jeff mentioned, our results reflect the challenges we faced upgrading in a weak global economy. During a seasonally strong period like the third quarter, we should be reporting far better results than. This we’ve made a lot of progress with initiatives to combat the difficult economic environment. These initiatives target both costs and revenue, ancillary revenue continues to be a focus of Continental and the industry. We continue to place an emphasis on working smarter, reducing costs, and operating more efficiently and you’ll see that reflected in our cost performance during the quarter. Third quarter mainline CASM holding fuel rate constant and excluding special items was up only 1% year-over-year, on a mainline capacity decrease of 4.1%. For the fourth quarter, excluding special items and holding fuel rate constant we expect both consolidated and mainline CASM to be up 1% to 1.5% year-over-year. Our consolidated fuel price, including taxes and fuel hedge impact during the quarter was $1.99 per gallon. We estimate that in the fourth quarter it will be about $2.04 per gallon, again, including taxes and fuel hedge impact. That results in a full year price of about $1.98 per gallon. We continue to hedge part of our fuel needs, which we have outlined in our investor update, that our most effective and sustainable way to manage that cost is through improved fuel efficiency. This year alone we have retired 25 of the less efficient 737 classic aircraft. We will end the year with a fleet that’s approximately 38% more efficient on an RPM basis than it was a dozen years ago. That translates into a tremendous amount of savings for us. Just this month, we installed the first pair of blended winglets on the 757-300 aircraft. Once the Fleet Titles complete by the end of the second quarter 2010, all of our narrowbody fleets will have winglets. Our fleet is the most fuel efficient of all the major U.S. global carriers. We took the delivery of six new Boeing 737-900ER aircraft during the quarter. We also took delivery of another 900ER earlier in this month and have one more scheduled to deliver before year end. Additional 737 new generation deliveries next year will replace the last remaining 737-300s that retire from the fleet in January. By the end of 2010, we expect to have fewer shelves than we had this summer with a more efficient mix of aircraft. Now, turning to the balance sheet, we ended the third quarter with $2.54 billion of unrestricted cash and short-term investments. As a percentage of last 12 months revenue, cash was approximately 20% at the end of the quarter. In August, we raised $158 million from the issuance of 14.4 million shares of common stock. We expect to end the year with approximately $2.4 billion of unrestricted cash and short-term investments. Our cash CapEx for the third quarter was $129 million and our current estimate for the full year is $400 million. For 2010, we’re targeting non fleet CapEx similar to this year and fleet related CapEx of about $275 million. Year-to-date we’ve contributed $175 million to our defined benefit pension plan, and we expect that our minimum funding requirement for our defined benefit pension plan during 2010 will be about $120 million. We intend to file our 10-Q later today, which will include more detail on many of these items. In conclusion, we’ve had our challenges this year and the third quarter was no exception. We’re going to stay focused on the things that have made Continental successful. Our people, our products, our fleet, facilities, and our network, we remain committed to achieving sustained meaningful profitability. With that I’ll turn the call back to Larry.
Larry Kellner: Thank you, Jeff and Zane. I’ll be here until the end of the year, but this will be my last earnings call. It’s been an honor and a pleasure to be part of Continental’s leadership team and to have worked with professional men and women at Continental for almost 15 years. When I came to the company as part of the turnaround team, we had great employees, but they were without the tools they needed to do their jobs. We worked on getting them the right tools and implemented our go forward plan that clearly laid out and communicated our strategic goals and most importantly, made our working together cornerstone a priority. I’m very proud of the company that my coworkers have built by working together. My coworkers working together have built the company that is globally recognized for its superior service and products. Working together, they built the company that has one of the most modern and fuel efficient fleets in the industry. Working together, they built a global route network that is soon to be enhanced by the global scope and scale of Star Alliance. Working together, they’ve built the company of which they and I are very proud. I’m confident that Jeff Smisek and the rest of our management team, along with our professional dedicated coworkers will overcome any challenges that lie ahead. As I leave, I believe that Continental has a bright and vibrant future, and I’m looking forward to watching Continental grow and prosper. With that, I’ll turn the call back over to DeAnne to begin our Q-and-A.
DeAnne Gabel: Thank you, Larry, Jeff, and Zane. With that, we’ll begin the question-and-answer session for the analysts, followed by the question-and-answer session for the media. Hilda, if could you please review the Q-and-A process we’ll be ready to begin.
Operator: (Operator Instructions) Your first question comes from Bill Greene - Morgan Stanley.
Bill Greene - Morgan Stanley: Larry, let me ask you since you’re leaving the industry, if you have any thoughts as to what the industry could do? So outside the Mac, although what could the industry do to achieve decent sort of solid returns on capital? What would make this industry investable? Is it just consolidation? Is that the only thing we’ve got left, what do you see?
Larry Kellner: No, I think we have looked at consolidation and clearly prefer to remain independent. I don’t think it’s just consolidation. Clearly, we need three things. We need a stable economy, which we have struggled with here between all the outside shocks, and well shocks and then the financial shocks, but we also need a more stable regulatory front, and I’d start with that with air traffic control. Again, there are just a number of things that aren’t predictable in our business that go up and down. As you look at a little capacity come out, things get better and then some capacity comes back in. I’m not sure consolidation solves that, Bill. If you look back to the mid 80s there were articles talking about, how consolidation could solve that. We still have new startups coming, but I do think we need to look at the regulatory side and specifically focus on air traffic control.
Bill Greene - Morgan Stanley: So it’s an interesting point you made just on the capacity coming in and out. On the margin this quarter we’re actually seeing the updates suggest slightly more capacity for forward periods. It’s just not clear to me, why that is, because everyone is talking about how things are difficult and you’ve expressed disappointment with your results in the third quarter and yet we’re seeing capacity increases. Why is the industry already moving toward that?
Larry Kellner: I think there’s two pieces that I think as Zane pointed out, we’ll actually have less aircraft next year than we have this year, but clearly people are working every utilization opportunity they have, because as we’ve taken capacity out and you’re trying to manage your cost to balance that. So I think what you’re seeing right no is in addition of new aircraft to people’s fleet, which is really the capacity changes, I worry most about Bill, and I think we see people trying to use the tools they have today as efficiently as possible, because there’s a lot of leisure demand and so load factors have not been issue. It’s been the fare environment and that leads to you look for every marginal opportunity you can find to flight the airplane, but not to go buy new airplanes for growth.
Operator: Your next question comes from Hunter Keay - Stifel Nicolaus.
Hunter Keay - Stifel Nicolaus: So fourth quarter load factor is tracking up three points, looks like you’re going to be paying, assuming all else equal, $0.19 per gallon less than Southwest will for fuel in the fourth quarter. Most airlines balance sheets have been repaired, if you will so to speak or much better shape than a month or two ago. So what’s preventing you now from pulling the lever on yields? Is it a visibility question? Is it an elasticity question because I understand the hesitation to attempt fare increases, when you think some of the cash strapped competitors are going to pursue sort of fleet strategy and not match you, but given the recent financing, it seems like liquidity risk has sort of the tabled near term. So what’s preventing the yield lever being pulled?
Jeff Smisek: This is Jeff and then I’ll ask Jim Compton to add and if he wants to say, but certainly from our knothole, we have a huge deficit in business travel. So you’ve got a big mix issue. It’s your high yield travelers are simply, either not traveling or they’re traveling more in the back of the bus and there we have to be somewhat dependent on the economy coming back and business travel are doing. So large part of the yield issue is really a mix issue. We’ve got plenty of traffic at low yield for leisure traffic, but its business traffic of that. Jim, do you want to add anything there?
Jim Compton: Hunter, I think Jeff said it perfectly. I think that historically, we’ve seen yield comeback and just clearly is a mix issue first, but the leverage is that business traffic coming back first and that’s the piece that obviously, we’re watching very closely, and that’s really a function of the economy. So I think that leverage that you mention on yield is truly a function of how the economy is going to improve going forward and how business traffic moves with that economy.
Hunter Keay - Stifel Nicolaus: I guess I’m more driving not so much on the high yield side, but more on the leisure side. You talked about in opening comments about peak periods versus non-peak period. Do you think if we get you could be more aggressive now on back cabin peak period type traffic? Because with consumer settlement seems to be improving, albeit gradually and I feel exact that could probably after pretty magnified impact if you got more aggressive on the yield back cabin yields.
Larry Kellner: I think it’s very difficult for us to comment on future pricing. I just point to actions that have been taken recently. You see in various cases carriers working to say, if we think we’re going to be full how do we maximize our revenue on those individual days, but I will also tell you that you not in once you get past the summer, are you have an awful lot of days that are not peak days as well. The Tuesday and Wednesday or every week come to mind and so there’s real challenges in doing that outside of what I would consider peak periods, but I want to be just looking at what’s out there historically, you’ve seen over the last 45 days or so people very focused on anyplace there is peak demand. So, we’ll see where it goes, but it’s all driven by I think the systems always designed, the revenue management systems to look at both demand and what you think the leisure traveler will pay, as you can shut leisure demand of pretty quickly with price.
Operator: Your next question comes from Gary Chase - Barclays Capital
Gary Chase - Barclays Capital: In the past, you’ve given updates on where your corporate revenue trends were. I was wondering if you could give us those statistics as they played out during the third quarter and in particular, I’m concerned with whether or not domestic premium is coming back at a faster rate than international or vice versa.
Jeff Smisek: I can help you, let me tell you the reason we have done it and the reason that you’re going to see us discontinue doing it going forward what we wanted to demonstrate with the statistics we had before was how the year-over-year declines were bottoming out. That is the business traffic declines were bottoming out. We’re now getting into and will be getting into, fourth quarter comps that are reflective of the significant decline in business travel that occurred after Lehman Brothers went down last year. So going forward you won’t see us doing that, but I will tell you what we’ve got for the third quarter. I don’t have it broken down by domestic versus international travel. We could probably figure that out and get back to you we needed to, but the year-over-year drop in high yield revenue for July was 31% for August was 28% and for September was 21%. So you can see the attenuation of the decline.
Larry Kellner: I would also point out September, this is Larry, a little messier because you had Hurricane Ike Houston for the last half of the month, which had lots of impact on our statistics, so it’s another reason it gets tougher.
Jeff Smisek: It gets tougher going forward, so its comps become essentially less meaningful going forward.
Gary Chase - Barclays Capital: Then, your advances, as highlighted in the investor update are a little bit softer than what we’ve seen in prior periods. I know booking curve has changed a lot. I’m wondering if that is a sign that you’re being less aggressive in filling up as you look forward because you think the close in demand is better or if that’s just, the changes we’re talking about in the booking process just sort of started to develop at this stage last year, so it’s comparison issue.
Jim Compton: Building on what Larry and Jeff comments here some of the places we’ve seen some improvement in bookings is in that 7 day to 13 day range. So you’re exactly pointing to the right thing. The revenue management system is anticipating a better build as you move through the quarter and so I think we talk about 2.9 points higher load factor year-over-year in the fourth quarter reflects a building of bookings as we move through the quarter based on our bookings. So getting back to earlier questions, it’s kind of the leverage piece that maybe was referred to a little bit and Larry mentioned the revenue management system, kind of lining up to where we’re seeing some of the demand right now.
Larry Kellner: I want to stress, we expect load factor to be up on a system basis almost three points for the quarter. So I think you should view that comment with where the bookings are. You can draw your own conclusions, but clearly we’re in a better spot than we were going into this a year ago.
Operator: Your next question comes from Jamie Baker - JP Morgan.
Jamie Baker - JP Morgan: Quick question on Star, you are gaining a strong Japanese partner in the form of A&A, but presumably your decision to move to Star was made without considering the impact of JAL possibly moving into SkyTeam and the potential that Delta could end up serving it down the road. I’m just curious if any of this ongoing courtship of JAL has changed? How you view the potential Star benefit that you have to get in Asia, Japan in particular?
Larry Kellner: I don’t think it’s the JAL courtship in the sense that either JAL is going to end up and stay in one world or go to SkyTeam, so we’re going to compete in Star between united and A&A in Continental with JAL and one of those two Alliances, either staying where they are and moving to SkyTeam and I don’t think as we look the numbers, we think that has a dramatic impact on where we end up. I think the key is, we’re working with United and A&A on a broader relationship in anticipation of open skies treaty with Japan, and I think that’s where the up side is for us.
Jamie Baker - JP Morgan: Your optimism that U.S. carriers would see their fair share if any and made a flags with open skies is achieved?
Larry Kellner: I think it’s a little early for optimism on that. Let’s just see where the open skies negotiations go.
Operator: Your next question comes from Mike Linenberg - Bank of America.
Mike Linenberg - Bank of America: Two questions, just right off the bat looking at the RASM, when you look at your RASM as reported in the third quarter, if we look at the domestic versus the regional, the domestic piece was down in almost 16%, the regional piece was down a lesser 11%. Yet the capacity declines were similar, what’s behind that? Because, when I think about the regional piece, I know there is some shorter hauled flights to Mexico, but it’s predominantly domestic. Any color that you can give on that would be great.
Jim Compton: You’re exactly right, pointing to those numbers. I would point out that if you kind of look on a two year over two year basis they’re behaving very much the same. So that the team has done a great job kind of at the margin right-sizing the regional. So even though understanding the capacity on year-over-year is about the same, but on a two year basis on that RASM lines up pretty well. So I think it’s more than network getting both the mainline and the regional in sync and the regional adjustments kind of lag of what we were doing on the mainline.
Mike Linenberg - Bank of America: My second question, this is either to Jeff or Larry, and this just has to do with Emission Trading Scheme. I know recently, there was an ICAO meeting in Montreal. It seemed that the global powers came out with a declaration of how to treat aviation, in advance of the UN Climate Change Conference, which is going to take place in Copenhagen later this year in December. I guess the question is that, now that there’s a framework there, does that supersede what the Europeans are trying to do with the ETS, or is there some sort of dual track where all the carriers are still aggregating and calculating what their carbon footprint is what the possibility that whatever may come out in December may not be sufficient and such that Europe still goes ahead with its ETS, which I guess, kicks in sometime and I think it’s 2012. Can you just give us an update on that?
Jeff Smisek: Clearly, since we are both a global and mobile industry, having regional regulations relating to carbon emissions, it really doesn’t work well. Since our assets flow across the globe, we need to be regulated in a consistent fashion across the globe for carbon emissions and ICAO is the right place to go. Both ATA and I ought to support that. We’ve been working very hard, lining up carriers across the world and I think most all of us agree that that’s the way to go. If we are however, because the EU, Emissions Trading Scheme is progressing, we are as carriers required to be prepared for that. Hope that one or more governments will sue to prevent the enactment of the ETS scheme, because it’s clearly a illegal from an extra territorial perspective, but unfortunately carriers don’t have private right of action, only governments do, but having centralized regulation through ICAO with its expertise and aviation, and the support of the carriers as well, I believe is clearly the way to go for responsible regulation of carbon emissions for global carriers.
Larry Kellner: I’d just add, Mike that if you look regional being very specific regional or country-by-country cap and trade does not work for the airline business and will significantly disadvantage the carriers from any country, in which those are enacted, because the way the cap and trade structures are set up. It’s just very tough to deal with that on anything other than a global basis. I think the side of that is that ATA, IATA now working with our ICAO have come together to put forward and very meaningful proposals ATA’s proposed in 1.5% per year, increase in efficiency through 2020, very meaningful things around the table, but it’s got to be done globally, and it’s very difficult to find any reasonable solution that will work. So we’re going to work hard hear in the U.S. and in Europe to try to get folks that are driving that’s understand, but it’s not a case of airlines not wanting to do their part, it’s a case of we need a global answer and the noise standards were governed by ICAO and I think that work pretty well on a global basis. So I think that’s a great example of the fact that we can make progress, but we need to do with a consistent global framework.
Mike Linenberg - Bank of America: Just Larry, last I just want to add, it’s been a privilege over the years and good luck going forward.
Operator: Your next question comes from Kevin Crissey - UBS.
Kevin Crissey - UBS: Can you talk about with the online travel agencies getting rid of booking fees awhile back now? Can you talk about, what you’re seeing is in terms of maybe loss of kind of supplier direct website sales, whether you’re seeing any of that and whether you would make any kind of counter off, or whether it be miles or some sort of other incentive to get the website direct bookings?
Jeff Smisek: This is Jeff. We are clearly seeing an impact. There’s no question about that. In terms of our response, since that effectively goes more towards forward pricing, our General Counsel never lets us talk about that. So I’m afraid, I can’t talk about that.
Operator: Your next question comes from Daniel McKenzie - Next Generation Equity.
Daniel McKenzie - Next Generation Equity: Larry, I echo the congratulations here and you certainly do set a high bar for CEOs. I guess, my first question is really just housecleaning and, Zane I appreciate the cash CapEx for 2010, but I’m wondering if you can provide a total consolidated CapEx number. By that I mean both the cash component, as well as the financing component for new aircraft and then related to that any color on need to tap equity or debt markets over next six months?
Zane Rowe: Dan, this is Zane. What we’ve given you today, at least this morning, is all we’re willing to give at this time. We’re in the process of budgeting next year’s capital needs and working on our operating budgets for next year as well. As you know historically, we haven’t given any forward-looking guidance on capital mark activity, either. As it relates to next year’s aircraft coming in, we do have Boeing back stop financing available. That’s pretty much all we’re allowed to say on forward-looking transactions.
Daniel McKenzie - Next Generation Equity: I guess, my second question might be a little trickier, but I’m wondering if you can talk just in general, about the labor strategy and just to clarify this, as I understand it, CAL has until December 2010 to implement a JV with Star, but scope clause in the pilots contract from the doing so and then separately, the pilots of course have an open contract, which would mean labor potentially would get two chances to step up to the plate for a raise. I guess, when I’m wondering, are all these negotiations bundled together in one negotiation or two?
Larry Kellner: I think two things. One, I think we always think negotiations are best left at the table, but I think in the framework you talk about, we do have a provision in our pilot scope clause about revenue sharing with another domestic carrier. So while we could do a foreign JV, the issue here is we cannot revenue share with a U.S. domestic carrier with united in the JV, that’s the issue there, but I think from our side we prefer to keep negotiations of the table. I would just say there’s a lot of ways you can work these out I think we’re all focused. We have an amenable pilot’s contract. We’d like the get that resolved assume as we can to move forward. I think the pilots would like to get it resold. It’s always just a question of trying to find common ground and so we’ll continue work hard to do that. We also are open with the mechanics and will be open with the flight attendants the end of the year and so I think as we forward will continue to look to get those results as quickly as we can in a way that’s both beneficial for our coworkers and also allows the company to be sustainable. It doesn’t do us any good if we can’t cut a contract that doesn’t do us any good we cut a contract does it work on a long term basis as I think some other carriers of seen. So we need to try fine solution that work for everybody that clearly our people are out there working hard and we want to make sure that we find solutions to the issues.
Operator: Your next question comes from Helane Becker - Jesup & Lamont
Helane Becker - Jesup & Lamont: What if business traffic on flying in the back of the bus or looking for discounts themselves is the new norm? What if business travel as we knew it, in prior cycles just is not going comeback that way and airlines have to really rethink their whole pricing strategy? How does that factor into kind of your thought process looking forward?
Larry Kellner: I think two things, Helane. One there’s a balance there, which is I think we look across our large corporate customers and many of them I think their short term actions they can take but the weather you’re global energy company within executive responsible for division in Europe and in the U.S. or you’re an investment bankers. The people who are taking 15 and 20 trips a year international which we have a number rather than the corporate side, probably you going to see some return and we already see some change in policy where business first is going to be there. Two we have smaller on average business first cabin on international basis and we have never sold leaving us side of the 30s or 40s etc on certain key flights domestically in first class. So we typically been somebody result the economic in the U.S. were have the majority of people sitting in the front they’re on upgrades, and not on a purchase basis. Internationally we have seen significant wants link of the flight and I think we fully recognize there maybe a new normal, which is somewhat better than what we see today, but not as good as what it’s been in the past. However, I think our cabin size, relative on our aircraft in a way we configure which is C-class configuration, actually fit that well. We’ve always been flexible in making adjustments and so clearly if there was a trade-off you can always reconfigure to take a few seats out, put more coach on and look at it vice versa. We have been very focused on keeping our international fleet consistent as much as we can, so for instance, all our 777s have 50 seats in the front in business first and I think that’s a key we wouldn’t want to lose going forward because it allows us to flow the aircraft between Asia and Europe and creates quite a bit of cost savings.
Operator: Your next question comes from Bill Greene - Morgan Stanley.
Bill Greene - Morgan Stanley: On the ancillaries on the bag fees, I think you talked about it being a $200 million number, given some of the changes it’s higher than that. Have you updated that? Sorry if I missed it?
Jeff Smisek: No, we have not updated it.
Bill Greene - Morgan Stanley: Safe to say given the changes that it should be at least materially higher I would think, no?
Jeff Smisek: I don’t think we’ve updated it yet, and I’m not we’re in a position to update it right now.
DeAnne Gabel: With that we open the call over to Nene to begin the question-and-answer session for the media.
Nene Foxhall: Thanks DeAnne. So, if could you briefly review the process for asking questions we’ll begin the media session.
Operator: (Operator Instructions) Your next question comes from Alison Grant - Plain Dealer.
Alison Grant - Plain Dealer: I was hoping that one of you could address as specifically as possible what impact you think the Star Alliance membership will have on CLE operations, not only in the near term, but let’s see going out a year?
Jim Compton: As respect to that, what it really does is open up a bigger world, we have market in Cleveland. Star being the largest global Alliance out there, our customer base in Cleveland is going to have many opportunities to reach out across the world. In addition, as Jeff mentioned in his comments, we’re adding service in Cleveland to Dulles, that specifically is there related to Star to tap into the network United has and Dulles internationally as well as some of the other Star Carriers. So again, I think for all our Hubs, including Cleveland, it really has been expanded world for our customers with great opportunity.
Alison Grant - Plain Dealer: Quick follow-up question, if I may. I just wondered if you thought and if there would be any change in flow traffic given the existence now of the large United Hub within Continental’s network in Chicago.
Larry Kellner: I think that any time the network is seeing changes, and in this case we are flowing into a different global network that flow traffic will change, and so forth. We’ll be obviously watching that to optimize revenue across our network and so forth, but I think that it’s hard for me to talk about specifics, but clearly flow traffic with new partners will be different. Obviously, different connecting points versus our SkyTeam partners that we had today, there are different connect points with our star partners to flow traffic will move with that.
Operator: Your next question comes from Shannon Buggs - Houston Chronicle.
Shannon Buggs - Houston Chronicle: As one of you’ve mentioned in your comments that, there were specific requests about the travel from Houston to Frankfurt and the Cleveland to Dulles. Who made those requests to you all to add those routes?
Jeff Smisek: Shannon, I don’t think its request. Those were adds in contemplation of joining Star Alliance. As Jim was saying, when you’re changing Alliances and this is usual. There’s not ever been an airline of our magnitude switching global alliances. You clearly have different flows and different natural connecting points. So routes like Cleveland and Houston to Washington Dulles, connecting into United Hub, flights like Houston to Frankfurt nonstop which begins November 1 connect at Lufthansa, those are the source of opportunities that global alliances offer a broader range, more planes and more seats, more opportunities, more opportunity to both earn and redeem miles, all the good things that flow from a globally alliance. So those route launches that we alluded to are essentially the natural consequence of changing Alliances just like we’ll move in many airports around the world to get closer to our Star partners to make those connections easier because, that’s the key element in the Alliance. As you’ve got to make it, it’s seamless for the customer as you can.
Shannon Buggs - Houston Chronicle: So are there other changes that are coming soon related to moving things closer to your partners?
Jeff Smisek: Yes, Shannon, there will be other changes. No, we will not be telling you what they are before we announce them.
Operator: Your next question comes from Mickey Maynard - New York Times.’
Mickey Maynard - New York Times: I wanted to see if you could expand a little bit about the comments made to Bill Greene about what would make the industry investable, because it sounds like what you were saying was essentially airlines have done the job that they can do, now it needs larger solutions.
Jim Compton: Mickey, I’ve been out before in the past. I mean the regulatory environment we have, and I’m not talking about of return to CAB Standards of 1978, but the regulatory system we have today isn’t working for employees, it’s not working for shareholders, it’s not working for customers. So I think we’ve got to step back at some point and say how do we get a regulatory system that doesn’t allow or doesn’t create the volatility we’ve seen, which if you go back since the beginning of coming out coming of deregulation in the early ‘80s, we have just seen huge volatility in this industry, some driven by the industry itself, a lot of it driven by crises outside of the industry 9/11, the energy run-up the economic industry collapse, but I think we’ve got to step back and say, if you go through a period of 25 years with the amount of turmoil we’ve had in the industry that all came off of a new regulatory set. I think the key as you’ve got to go back and look at those regulatory rules and say, what do we need to change? What do we need to fix? Whether it’s about oil speculation or air traffic control or about how the Railway Labor Act works. Again, in a way that’s positive from a shareholder standpoint, positive from an employee standpoint, and candidly positive from a customer standpoint. I just don’t think you can look and say other than from low fares, from an industry stability side, deregulation has not been working. Doesn’t mean we need to go back to where we are, but I do think we need to look at how we adjust what we have.
Mickey Maynard - New York Times: So before we get something like, say, the three hour rule or passenger’s bill of rights or those sorts of things, you would rather have a complete look at the whole regulatory environment rather than the sort of patchwork quilt situation?
Larry Kellner: When I think the challenge with the patchwork quilt is it doesn’t look at how all the pieces fit together and I think we had a step back and say, whether we’ve had now 30 years, since we’ve passed the Airline Deregulation Act. What have we learned and how do we create a more stable environment? Clearly, it’s done good for growth of the system, but as the system grow the air traffic control system didn’t keep up with it. I think we continue to have challenges with the Railway Labor Act that I think we need to address with both labor and management to figure out a better solution from both side, because I don’t think either side would stand up and say its working. I think as you look at the volatility in oil prices and business that burns a lot of well. We need to find the way to make sure that speculation is dropping those prices and how we’ve got some stability in the marketplace. So I do think we need a holistic view to say, what have we learned over the last 30 years and let’s not look at one individual piece, whether it would be a passenger bill of rights or anything else, how we have review the industry. If we think it’s important to the country, which I should do and I think transportation is key to our future and also fits into the whole cap and trade issue, we’re talking about later in the call. I think there’s just a wide range of issues that will all drive either instability in this industry or stability, and we need to look for a way to find more stability. I think that would be good for everybody.
Operator: Your final question comes from David Koenig - Associated Press.
David Koenig - Associated Press: I guess this is for Jeff Smisek. I wondered, in light of the October RASM estimate that you’ve offered, are you comfortable saying that the worst of the travel slump is now over, or where are we?
Jeff Smisek: David, I would say that we are bumping along the bottom. I don’t have a crystal ball unfortunately or when I have seems to be very cloudy. So I can’t tell you when the recovery will come or how quickly or at what rate business travel will return. I do believe that based on the data we have, we don’t see things getting worse, but the recovery seems to be quite slow, and I think we’ll know when we see it. We’re just not in a position to try to prognosticate on it.
Operator: At this moment, I’m showing no further questions.
Nene Foxhall: Okay, thank you very much. Larry, Jeff, Zane, and DeAnne, thanks to you and thanks to everybody who’s joining us. Please call corporate communications, if you have any further questions and we look forward to talking to you next quarter.
Operator: Thank you. Ladies and gentlemen, this concludes today’s conference. We thank you for participating. You may now disconnect.